Operator: Ladies and gentlemen, thank you for standing by. My name is Phyllis and I am your event operator today. I would like to welcome everyone to today's conference, Public Service Enterprise Group Second Quarter 2020 Earnings Conference Call and Webcast. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session for members of the financial community.  As a reminder, this conference is being recorded today, July 31, 2020 and will be available for telephone replay beginning at 1:00 P.M. Eastern Time today until 11:30 P.M. Eastern Time on August 11, 2020. It will also be available as an audio webcast on PSEG's corporate website at www.pseg.com.
Carlotta Chan: Thank you, Phyllis. Good morning and thank you for participating in our earnings call. PSEG's second quarter 2020 earnings release attachments and slides detailing operating results by company are posted on our website at investor.pseg.com and our 10-Q will be filed shortly. The earnings release and other matters discussed during today's call contain forward-looking statements and estimates that are subject to various risks and uncertainties. We will also discuss non-GAAP operating earnings and non-GAAP adjusted EBITDA which differ from net income as reported in accordance with generally accepted accounting principles in the United States. We include reconciliations of our non-GAAP financial measures and a disclaimer regarding forward-looking statements on our IR website and in today's earnings materials. I'll now turn the call over to Ralph Izzo, Chairman, President and Chief Executive Officer of PSEG. Joining Ralph on today's call is Dan Cregg, Executive Vice President and Chief Financial Officer. At the conclusion of their remarks, there will be time for your questions. Ralph?
Ralph Izzo: Thank you, Carlotta and thank you all for joining us. PSEG reported non-GAAP operating earnings for the second quarter of 2020 of $0.79 per share versus $0.58 per share in last year's second quarter. PSEG's GAAP results for the second quarter were $0.89 per share compared with $0.30 per share in last year's second quarter. Our results for the second quarter bring non-GAAP operating earnings for the first half of 2020 to $1.82 per share. This increase over non-GAAP results of $1.66 per share for the first half of 2019 reflects the growing contribution from our regulated operations, effective cost controls at both the utility and PSEG Power. The absence of two extended plant outages that took place in last year's second quarter and the favorable settlement of audits covering the 2011 through 2016 tax years, which in combination of mitigated much of the weather related headwinds experienced in the first quarter of 2020. Slides 11 and 13 summarizes the results for the quarter and the first half of the year. We are especially pleased to report solid operating and financial results at both businesses. Our employees continue to effectively respond to the challenges and requirements of providing essential energy services under extraordinary conditions. The statewide mandated closure of most businesses, schools and government buildings in New Jersey contributes to a decline of approximately 7% in weather normalized electric sales for the second quarter. As the state continues the gradual reopening of businesses and activities, effective containment of COVID-19 should expand commercial activity and energy usage in the months ahead.
Dan Cregg: Terrific, thank you, Ralph and good morning everyone. Ralph said PSEG reported non-GAAP operating earnings for the second quarter of 2019 of $0.79 per share and that's versus $0.58 per share in last year's second quarter. We have provided you information on Slide 11 regarding the contribution to non-GAAP operating earnings by business for the quarter. And in Slide 12, you will see a waterfall chart that takes you through the net changes, quarter-over-quarter in non-GAAP operating earnings by major business. So now I'll go through each company in more detail starting with PSE&G. PSE&G reported net income of $0.56 per share for the second quarter of 2020 compared with net income of $0.45 per share for the second quarter of 2019 and that's shown on Slide 16. PSE&G's second quarter results were driven by revenue growth from ongoing capital investment programs. Transmission results contributed an incremental $0.05 per share to second quarter net income which included approximately $0.02 per share related to 2019 true ups and lower pension expense. Gas margin was $0.02 per share favorable driven by Gas System Modernization Program investments, and weather normalized volumes. Favorable weather comparisons quarter-over-quarter added a $0.01 per share, and while electric bad debt expense is recovered through our societal benefits charge, gas related bad debt expense in excess of the amount included in rates reduced earnings by a $0.01 per share, compared to the second quarter of 2019 reflecting higher uncollectibles related to COVID-19. Distribution-related depreciation and interest expense each over net income by $0.01 per share and non-operating pension expense was $0.03 per share favorable compared to the second quarter of 2019. And lastly, flow-through taxes and other items were $0.03 favorable compared to the second quarter of 2019 as driven by the timing of taxes and the settlement of federal tax audits for the 2011 to 2016 years. Weather in the second quarter of 2020 was favorable compared with the second quarter of 2019 but year-to-date weather remained a mild headwinds. Early summer weather was below normal, but 7% warmer than second quarter 2019 and weather normalized electric sales in the second quarter declined by about 7% with residential loads up 8% but more than offset by commercial and industrial sales that were approximately 14% lower in the quarter.
Operator: Ladies and gentlemen, we will now begin the question-and-answer session.  The first question comes from the line of Durgesh Chopra with Evercore ISI. Please proceed with your question.
Durgesh Chopra: Hey, good morning team. Thank you for taking my question.
Ralph Izzo: Good morning, Durgesh.
Durgesh Chopra: Maybe if you could help us just size the EBITDA for the non-nuclear generation assets you were thinking it's roughly 20% of the total Power EBITDA does that, does that seem reasonable, can you comment on that?
Ralph Izzo: Yes, Durgesh, we have not broken that out in the past and are not going to do that at this juncture, I think as we continue to go through the process, more information will come forward but at this point we're not going to provide that and you can put together your best estimate.
Durgesh Chopra: Understood. That's fair. And then maybe can you get your thoughts on, just in terms of the current market for -- just in merchant generation and going into the strategic review, how are you thinking about valuation for these assets just any high level color on that front?
Dan Cregg: Yes, I'd say Durgesh our expectations is to conduct an extremely robust process without redetermining or self-limiting it in any way and we'll let the market decide what these assets are worth there, or highly efficient with good heat rates, environmentally compliant and terrific market. So we're pretty optimistic about it.
Durgesh Chopra: Okay. Thanks for that, Ralph. And just one really quick one and then I'll jump back in the queue. Is there a regulated to non-regulated business mix, Ralph, that you were targeting from this transaction?
Ralph Izzo: Yes. So what we're trying to do is become as regulated as is possible and whatever remains being as contracted as possible to remove that earnings volatility and to have people explicitly recognize the valuation that PSE&G deserves. So the contracted piece would be things like PSEG Long Island, right, that's a multi-year contract to operate that system out there. And then to the extent that the nuclear plants supported by ZECs, that's not exactly contracted but Plaza, supported by public policy and instrumental in terms of New Jersey's carbon aspirations.
Durgesh Chopra: So basically get to regulated get to -- as high regulated plus contracted mix as you can.
Ralph Izzo: Exactly right.
Durgesh Chopra: Okay.
Ralph Izzo: Given the merchant piece, yes.
Durgesh Chopra: Understood. Thanks guys, I appreciate the time.
Operator: Your next question comes from the line of Jeremy Tonet with JP Morgan.
Jeremy Tonet: Hi, good morning.
Ralph Izzo: Good morning.
Jeremy Tonet: Just wanted to follow-up with the strategic process as well. And just wondering if you could give a little bit more flavor as far as why now versus any point in the past and I imagine it sensitive overall the process, but didn't know if you could speak at all to what would be the driver for a single asset verses multi-asset process and the release, you mentioned the release just trying to see what details you can share here?
Ralph Izzo: Hey Jeremy, so we have said for quite some time that we've eventually thought these businesses will separate and we gave certain conditions under which we thought that would happen and one of those. I won't bore you with all of them, one of those was a sustained discount and valuation, which just will be a demonstration that investors were not satisfied with an integrated model. And we have a couple of things that we are in the process of tackling that seem to us at least to be in the market waiting for good news, recently the utility going to grow at 6.5% CAGR, but CEF is going to add to that. So that's the absence of a positive. We've been very public about our discussions on transmission ROE, so that's a driven -- unknown yet, but not a big unknown and we have good news coming out of the FERC MOPR in terms of our nuclear plants being able to bid basically zero and clear that market. So the remaining pieces that discount associated with having the integrated model and you can't put our current valuation all on the back of transmission ROE. You'd have to make forgive me, if it's impolite but some really crazy assumptions to get PSEG valuations that made sense with that being the only case. So we don't -- we're just right that pre-determined factor that we've always been paying attention to which is a sustained discount in our valuation appears to have manifests itself. So let's pursue acting on that.
Jeremy Tonet: Great, that makes sense. That's helpful.
Ralph Izzo: In the US, also in terms of pieces or the whole thing, I really at the risk of repeating what I said a moment ago, our plan is to make this process as robust as possible to get the cleanest signal from the market about how to optimize the value to our shareholders. And if that means one check for everything or 5,700, 6700 checks for each megawatt, I'm being observed there obviously, we will entertain that whole range.
Jeremy Tonet: Got it. That's very helpful. Thank you, and then do you expect any material change to managing the nuclear portfolio after you did best -- you the power assets and how might the sale here impact your financing plans given the importance of power free cash flow to funding utility growth?
Ralph Izzo: So in terms of the nuclear, I'll let Dan speaks to the financing, but in terms of nuclear operations, they have largely been separate for their entire existence, nuclear  engineering group, it's on maintenance group, it's on operations group, it's on supply chain, it's on HR support. So that should be a non-event from an operations point of view.
Dan Cregg: Yes, I think from a financing perspective, I think that one of the key uses of proceeds I think would be to pay down debt at Power, obviously, if you think about the indenture and the structure of that you've got the assets sitting underneath Power and to the extent that we see some separation there to sell the cash that would come in would be used to pay down that debt. So, you would also have less interest expense on a go-forward basis to the extent that would end up happening. And also a better business mix and a better credit profile. So the ability to draw some debt capacity from that as well. So that's how we would think about it.
Jeremy Tonet: So overall, no real impact to -- future equity needs at this point.
Ralph Izzo: That's correct,
Dan Cregg: That's correct.
Jeremy Tonet: Great, thank you so much for taking my question.
Ralph Izzo: Thanks, Jeremy
Operator: Thank you. Your next question comes from the line of Julien Dumoulin-Smith with Bank of America.
Julien Dumoulin-Smith: Hey, good morning. Thanks for the time.
Ralph Izzo: Good morning. Julien.
Julien Dumoulin-Smith: Pleasure. Hey, so following up on Jeremy's question there. Can we talk about how you think of the financing on a go-forward basis. I don't want to get into the proceeds expectation, but again, given the backdrop of the Dominion transaction recently and the repositioning, can you just give us a little bit of a sense on how you think about financing the business prospectively, and specifically, how you think about equity needs relative to dividend and specifically emphasis on dividend if you can?
Ralph Izzo: So, I'll start and then Dan will tell you the real story. I mean the utility earnings far in a way more than covering the dividend and the utility rate base CAGR growth is in excess of our dividend growth over the past 5 to 10 years. So from the point of view, the dividend policy, obviously reserving the right of the Board to always make decisions each quarter. We are highly confident that that's a no, never mind. In terms of the financing, the change in the business mix is going to change the potential for the parent to borrow and the delevering that will take place from the proceeds will -- and there'll be a residual a power function from the nuclear plant point of view will free up some investment capacity there as well. And don't forget Julien, our biggest cash generator for the past few years has been the utility. So we've done a bunch of analysis and obviously we'll wait and see how the process involves. But we feel pretty good about where our financing will come from and how we'll be able to support strong utility growth, that's the goal here right? Strong consistent utility growth.
Julien Dumoulin-Smith: Right. But -- go forward.
Ralph Izzo: No. Go Julien.
Julien Dumoulin-Smith: I'm sorry, I was going to say to that point, how do you think about your balance sheet at a consolidated level, you talked about paying down if I heard you right, that basically the entirety of proceeds would be used to pay down power debt, but from a consolidated basis, how do you think about pro forma metrics from FFO to debt perspective right given a different risk profile, et cetera. I think that's probably another angle here right?
Ralph Izzo: Yes, whether it's the entirety of proceeds is to be determined, right. I think that it's more likely the entirety of the debt and then we'll see what ultimate aggregate proceeds are coming in. I think that where you land from the standpoint of overall debt capacity is going to be a function of that business mix and it's going to be a function of working with the rating agencies to make that determination. And but undoubtedly that is going to be an improvement and undoubtedly that's going to be some debt capacity that's going to open up from that perspective. So, that's how we're thinking about it, the fine points on that are ahead of us yet, but I think that's how you think about it, and frankly Julien, we tend to think about our overall financing is coming from the utility, a very strong cash from operations in its own right. And then, ultimately on the other side, there is a Money Pool where you'd have access to the power and  parent as funding vehicles. And I think it's just more of a shift in potential to the parent, although the remaining operations that would sit at power certainly would have a stream of cash flow and would have the ability to have some financial.
Julien Dumoulin-Smith: Just quick question or clarification on the release, timing, key issues get resolved before actually completing?
Ralph Izzo: I'll take that. Those are totally  dependent processes.
Julien Dumoulin-Smith: Excellent, thanks for clarifying that especially the dividend.
Ralph Izzo: Thanks.
Operator: Your next question comes from the line of David Akira  with Morgan Stanley.
Unidentified Analyst: Hi, good morning. Thanks for taking my questions. Could you give your latest thoughts on the transmission ROE and negotiations in terms of what timing, you might be aiming for. And then, one other ways that you have in mind that could potentially mitigate some of the EPS impacts from that, whether it be on the equity ratio or cost allocation side of things?
Ralph Izzo: So the negotiations are confidential, so I apologize for not being able to give you specifics, but you're -- the contents of your question actually gets right to the heart of the matter that this isn't about a single number what the ROE is this is about a variety of issues and what is the depreciation rate of the assets, what is the  equity layer, associated with the business, what are acceptable components of the FERC formula rate filing, in terms of cost, that maybe had not been captured in the past that could be captured now so. So, what I'd say is both sides are eager to provide relief to customers and eliminate an uncertainty in terms of where this could end up. However what matters to us is the overall economics and I think what matters to the regulators as the cash impact on customers, so what we're trying to do is balance each of those variables, if you will, to each to achieve our stated objective. I'm hopeful we can do it, but I'm not certain we can do it and we're just unfortunately I can't say more than that at this point in time. I mean the BPU staff is working hard, the consumer advocates are working hard. We talked, I think at least we -- they have other things that they need to tend to do. But it is an overall economic assessment that we need to bring voluntarily that we believe is more difficult  to achieve further. So to be continued.
Unidentified Analyst: Excellent. And I guess would there be any change in the timing of the rough time frame that you've communicated in the past for that?
Ralph Izzo: No, I don't think so. I mean yes, it's a question of the patients that BPU staff and the consumer advocate have, I mean they could file a complaint tomorrow and we certainly are not encouraging that, but we're not going to let the potential of filing a complaint make us deviate from what we know is an economically reasonable outcome and it would be a shame if we couldn't reach that outcome because the fact of matter as the complaint was filed, it wouldn't be resolved that FERC for years to come and New Jersey is struggling with 16% unemployment and all manner of economic challenges that it would be in everybody's interest, to try to return some rate relief to customers today. But no, I mean they could file tomorrow. I can't constrain that. But we're still trying.
Unidentified Analyst: Okay, great. Thank you very much.
Operator: Your next question comes from the line of Michael Lapides with Goldman Sachs.
Michael Lapides: Thank you for taking my question. Two questions, one on power and why sell down given the Clean attributes associated with it, I know it's small, but why sell down was solar assets, or why sell off the solar assets, why not keep those embedded and do you see utility scale solar or not see it as that in attractive business longer term?
Ralph Izzo: Yes. So Michael, it's 479 megawatt, I think the biggest project is like 40 or 50 megawatt and most of them are 5 and 6. They spread around 17 states. So the scale is what we'd like it to be and candidly, we'd like to focus more of our green and carbon free attributes in the Mid-Atlantic region and as it relates to particularly nuclear potentially offshore wind plus, it's really because of its size, what I'm about to say, it's hard to prove it. We don't think we were getting proper credit for it in our own valuation, it's almost never picked up, you put an EBITDA multiple on something that's largely benefiting from investment tax credits and that doesn't get reflected in the stock price in a way that it might provide greater value to somebody who has a different calculus around, and know how to measure economic value. Yes, you said you had a second question, Michael.
Michael Lapides: Yes, I had a second question. When I go back and look at your investor slide decks and I'm looking at the capital spending charts and slide decks from the last few months or so, in the CapEx by year, for PSE&G. And this has happened for years with your company, is that your forecast transmission CapEx to just fall off a cliff, kind of gradually every year, year two is lower than year one, year three is lower than year two, year four is lower than year three. It actually never happens. Do you have any incremental color about what could make 2021 or 2022 Transmission CapEx, materially different or significantly different than kind of what you've shown on your latest slide decks for those years.
Ralph Izzo: Yes. So what you said about transmission is actually truly the capital program overall and we try to point that out in the good old days when we can actually face to face at an investor conference that is purely a function of the fact that things are less firm in years, three, four and five than they are in years one and two. To your specific question about transmission, most of the big projects that came out of the PJM RTEP are pretty much complete or near complete, and a good part of our effort now is in upgrading our 26 KV system, the 69, that will result in an overall reduction in the transmission spend. But that's fully baked into that 6.5%, 90% CAGR number that we put out there. The possible -- there is a possibility of increasing transmission investment as New Jersey continues its pursuit of offshore wind, and we go from a 1 gigawatt to potentially 7.5 gigawatt future, the current project, the  had a very minuscule effect on the onshore transmission system, but as you start moving 7.5 gigawatts of power onto New Jersey, then that could change. So, and then last but not least, one of the things that the BPU is talking to all utilities, not just us about is the possibility for accelerating some of the infrastructure programs that we want to do to help create some economic stimulus and just given the age of our transmission infrastructure, and age of our gas infrastructure, that is something that could provide further opportunities for us as well.
Michael Lapides: Are there any public filings or any dockets or proceedings open whether at PJM or whether at the BPU regarding incremental transmission spend over the next couple of years.
Ralph Izzo: I don't think -- I'm wondering, there may be a BPU -- we can get back to you, Michael. There may be a BPU docket on how to bid future offshore wind projects, whether there is separate transmission from the actual wind farm, because as you probably know, the first solicit together and I thought the BPU is looking at it, it wasn't separate to them. But that may be over. I'm not sure, we can get back on that.
Dan Cregg: Michael, it really was, it was offshore wind and the line coming into shore all in one solicitation. So to the extent that there is and that's -- that has been the only solicitation in New Jersey to the extent that there are more solicitations and more of an ability to link-up projects that are out in the ocean and then doing it in different ways and may be carving it up, that's the kind of thing that is being looked at as a policy question. But what I think that wherever that does landed -- it sounded like your question was really nearer term for capital deployment, really in the immediate term, I wouldn't expect I think your question was '21, '22 that would be on the early end of anything if anything would happen by that time frame, on what we're talking about. So if that's your timeframe, I think less likely, I think as we go out into the future and try to make some longer term determinations as how to best target the magnitude of offshore one that the state is looking for, you may see more into the future.
Michael Lapides: Got it. Thank you, Ralph. Thank you, Dan.
Ralph Izzo: Yes.
Operator: Your next question comes from the line of Paul Patterson with Glenrock Associates.
Paul Patterson: Hey, how are you guys doing?
Ralph Izzo: Great, Paul.
Dan Cregg: How are you?
Paul Patterson: Great. So I wanted to just sort of make sure that I just wanted to clarify something here. So the divestiture or the strategic review that's purely being basically driven by, if I understand stock valuation, there is no real significant change in market outlook or regulatory stuff that's going on here. This is just basically, hey, is it worth more -- the valuation equation basically mean it's a good time to look at it, am I understanding that correctly?
Ralph Izzo: That's exactly right.
Paul Patterson: And then with respect to the FRR, and I guess Ralph touched on this. There is no change in that process that you see taking place as a result of this and do we still, do you think I think you guys were basically under the impression that it was a very good chance, you don't need legislation, is that sort of still the case?
Ralph Izzo: So, while -- question, so we're not driving the FRR bus right, that's being driven by the BPU's. So that's a totally independent process and I think the state is still trying to figure out, do they want FRR that simply secures the carbon free energy, because they want to do an FRR that secures all of their energy and I don't see that being any way shape or form influenced by our decision to divest of our fossil assets. In terms of legislation, that's a purely a function of what kind of FRR they design. So if there is a better than even chance that no legislation is needed, but for example in the creation of an old REC, legislation was required if there is a similar thinking about any other kind of particular technology, then there might be a need for legislation. So, it's just too early in the FRR discussions to be definitive. What you're accurately quoting, Paul is that once upon a time when we thought all that would happen was that our nuclear plants will be supported by BGS that they would not be a need for legislation, but I think the PJM compliance filing that shows that our nuclear plants are free to bid and computing capacity markets has really diminished the need for anything specific to our nuclear plants at this time.
Paul Patterson: Okay, great. The rest of my questions have been asked and answered. And thanks so much, have a great one.
Operator: Your next question comes from the line of Paul Fremont with Mizuho.
Paul Fremont: Thanks. Hi, I think I just wanted to follow-up a little bit on Julien's line of questions. It looks like your downgrade threshold, according to the Moody's report put out earlier this year was 17% and you ended the year 1% below that. If you were to essentially lose some additional cash flows on the merchant side and use back leverage to fund the utility investment going forward that could put further pressure on your FFO to debt ratio. So I guess my question is, would you be willing to accept ultimately a downgrade in the credit rating or what would you see as potentially happening on the FFO to debt side?
Ralph Izzo: There is obviously a whole lot of moving parts with respect to what we're talking about and a lot of discussions yet to be had and an ability to work through those things I think what I would say is, if you think about the overall business mix of enterprise and you think about that business mix without the non-nuclear generation, I think you have a more stable set of cash flows coming off the business and I think at the end of the day, you would have a lower threshold from the standpoint of what that newly designed entity look like. So I think that's a part of the calculus that becomes important in all this as we work forward and come to some determinations.
Paul Fremont: Great, thank you.
Ralph Izzo: Paul, sorry, I was hoping, you'd ask us the question about CEF. By the way we, our annual run rate right now at CEF is $200 million a year, it's not $40 million a year, because we got a $110 million extension for six months. And also as far as we can tell, negotiations are pretty active. We expect either a settlement or decision about the BPU in September. So we're…
Dan Cregg: Yes. No, I think we were definitely anticipating a settlement, I think is what we wrote in the last report that we put out. So we don't know the timing but we are very optimistic that there will be a settlement in that proceeding.
Ralph Izzo: Okay. Well, my timing is September, just so the world knows that.
Paul Fremont: Great.
Operator: Your next question comes from the line of Steve Fleishman with Wolfe Research.
Steve Fleishman: Good morning. Thought I was going to . Hey, Ralph.
Ralph Izzo: How are you?
Steve Fleishman: I'm doing great, thanks. So just couple of questions, first of all, you have kind of talked for a little while about kind of willingness to sell the fossil assets, so maybe could you just give a little more color like what is different now versus what you've already been saying for kind of 6 to 12 months. I think you were worried about getting a fair price to some degree. So, are you more confident on that or some color there?
Ralph Izzo: Yes, I'd say two things, Steve. Number one is getting a fair price given the capacity market uncertainty in PJM, and that I think, we haven't run an auction. But the rules are pretty clear in terms of what's going to happen there, but I would say it's just the valuation discount has expanded to a point where it just -- it's not fair, it just doesn't make any sense for PSEG to be valued where it is and,
Steve Fleishman: Right.
Ralph Izzo: You can't put it all on the backs of transmission ROE without making truly  assumption. So, it really was a case of enough is enough. And I do think that unlike the BEC process where we candidly, we did a little bit of a test program, we will announce a handful of people we thought might have interest. We're not going to do that, we're going to conduct a very robust process and we're going to -- just run it differently than that probably run. So I'd say, yes, there is a calming in the power markets and further expansion of the discount in valuation that conspire to say enough is enough.
Steve Fleishman: Okay, couple of just technical questions on it. Do you have the tax basis of the assets that you could provide us? And also just how should we think about dealing with like dis synergies. Is that something you can manage?
Ralph Izzo: Yes, Steven, we have a tax basis number to provide, it's certainly going to be lower on the federal side, if you think about some of the expensing that's gone on. So I would think about it against the backdrop of some of bonuses -- on. And there's not a dis-synergy number, but obviously to the extent that you've got some of the costs, that you see getting spread across the various businesses, there will be some of that right, that you'll have a smaller entity to do to be able to spread over, but also as we look at this, we will be looking at efficiencies across the business as a whole to try to make up some of them.
Steve Fleishman: Great. And then last question on offshore wind, is there any I may be over reading it but I kind of feel like there's a little bit more of a tone of kind of interest in moving forward with offshore wind growth, could you maybe just give a little more color on that talking about the future auctions coming up to and -- Yes.
Ralph Izzo: Yes, so certainly, we're still, where we have been all along, Steve from the point of view trying to maximize this opportunity that's available to us to learn. We are in a different places, we have learned more. And we are gaining confidence and the ability to construct and own and operate probably not can't see the same in terms of the regulatory process, particularly at the national level. And you -- I'm sure are aware that New Jersey has begun discussions about round two solicitation, and that's expected to -- Yes, I think in a couple of months. So, the state is moving and I do believe all within Governor Murphy's first term, you will see solicitations and securing a 3,500 megawatt of offshore wind. So this is becoming more and more real with every day and I have no reason to not believe that the state's full aspirations of 7,500 megawatt as well as New York state's 9,000 megawatts and so on and the list won't be realized. So you are picking up in my voice that this is going to happen at a scale that I wouldn't have predicted three or four years ago, but you see it coming along right now.
Steve Fleishman: Great, thank you.
Operator: We have time for one final question. Your next question comes from the line of  with KeyBanc.
Unidentified Analyst: Thanks. Can you hear me?
Ralph Izzo: Hi.
Unidentified Analyst: Hi, thanks for taking my question. Maybe if I could sneak in a couple of related questions on the Power side, so you're keeping nuclear power plants and we understand they have been substantially derisked via ZECs and is there -- however a scenario where you can envision that they may find different home also and then another question, I had is there any implications for -- any implications for how much headroom on your customer bill, you have in new Jersey after this divestiture. Thank you.
Ralph Izzo: Sophie, in the spirit of you, -- never say never, I wouldn't want to say the word never, but we are not marketing those nuclear plants. We have every intention and expectation of holding on to them and marketing the non-nuclear assets to source and fossil fleets. Plus, I just think that the candidate pool for purchasing is vastly, vastly larger for the fossil assets, right. So again at the risk  never say never, but I think it's pretty, that would be in the conjecture and most that is not time well spent. And because of that -- what's your second question?
Unidentified Analyst: Is there, are there any implications on the bill headroom in New Jersey?
Ralph Izzo: No. I would think that, no I mean power prices in the forward market as we've said are down from where they were just two years ago and that continues to be pressure on forward power prices both because of the abundance of natural gas, the reduction in load and the availability of highly efficient generation, so. We match, we try to match all of our utility proposed programs to bill impact of roughly CPI, and we try to do that in a way that includes rolling integrates every 6 to 12 months. So there is no price and rate shock to the customer, and of course we are firm believers that energy efficiency can be targeted at those customers who are A, the most vulnerable or B, are most broadly providers of services to the population at large and therefore benefit the population at large by reducing their energy consumption. I do think that, that once -- this past the appointed hour, so I would be remiss notwithstanding all the news and hopefully really good and exciting news that we share with you if I didn't simply say everyone on the call that I hope you and your families and friends are experiencing good health and have not been affected by this horrible challenge that we have in a form of COVID-19 and to the extent that any of you have friends or family who have been front-line health workers, we have PSEG truly express our thanks to you and to them indirectly. I'm pleased, I mean we convey that to them. We had just an amazing terrific effort by our employees, we've not been untouched by COVID-19, our infection rates are about half of the general population, our employees are managing to work safe and just produced some phenomenal cost savings, yielding a very strong quarter, I know we had some one-time stuff. But even if you back that one-time stuff out, I think we had a terrific quarter. And Dan and IR are the dancing types, but hopefully you can hear our voice excitement, the genuine excitement we feel about the pursuit of the strategic alternative and what that means for the concentrated focus growth of the utility, especially a CEF that we expect to be resolved by September -- and we look forward to seeing you all in person. But until then, we'll see you at some upcoming virtual conferences over the next several weeks. Thanks, everyone.
Operator: Ladies and gentlemen, that does conclude your conference call for today. You may disconnect. And thank you for participating.